Operator: Good afternoon, and welcome to the Universal Technical Institute Fourth Quarter and Full Year 2025 Earnings Conference Call. All participants will be in listen-only mode. If you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Matt Kempton, Vice President, Corporate Finance and Investor Relations. Please go ahead. Hello, and welcome to Universal Technical Institute's fiscal fourth Quarter and Full Year 2025 Earnings Call.
Matt Kempton: Joining me today are our CEO, Jerome Grant, and CFO, Bruce Schuman. Following our prepared remarks, we will open the call for your questions. A replay of this call, its transcript, and our investor presentation will be archived on the Investor Relations section of our website at investor.uti.edu, along with our earnings release, issued earlier today and furnished to the SEC. During this call, we may make comments that contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which by their nature, address matters that are in the future and are uncertain. These statements reflect management's current beliefs and are subject to a number of factors that may cause actual results to differ materially from those statements. These factors include, but are not limited to, those discussed in our earnings release and SEC filings. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We do not intend to update these forward-looking statements as a result of new information or future developments except as required by law. Please note, unless otherwise stated, all comparisons in this call will be against our results for the comparable period of fiscal 2024. The information presented today also includes non-GAAP financial measures. These should be viewed in addition to and not as a substitute for the company's reported results prepared in accordance with US GAAP. All non-GAAP financial measures referenced in today's call are reconciled in our earnings press release to the most directly comparable GAAP measure. For more information regarding definitions of our non-GAAP measures, please see our earnings release, financial supplement, and investor presentation. With that, I will turn the call over to Jerome Grant, CEO of Universal Technical Institute, for his prepared remarks. Jerome?
Jerome Grant: Thank you, Matt. Good afternoon, everyone, and thank you for joining us. We launched our North Star strategy in 2020 with a focus on growth, diversification, and optimization. The first phase of the strategy successfully concluded with the close of fiscal year 2024. In that first phase, we saw our student population more than double, from 10,000 to over 22,000. Revenue grew from just over $300 million to $733 million, and adjusted EBITDA increased from $14 million to $103 million. All of this was accomplished while improving student outcomes and employer satisfaction. Fiscal 2025 marked the first year of the next phase of our North Star strategy, a year that demonstrated the strength of our strategy, the depth of our execution, and capitalized on the momentum we built as a diversified, growth-oriented education company. We entered the first year of our North Star Strategy phase two with high expectations, and we delivered results that exceeded such expectations. Revenue surpassed our twice-raised guidance range, reaching $836 million or 14% year-over-year growth. To reiterate, we raised our top-line guidance twice throughout the first half of the year, and raised the lower end of our range in the last quarter. So the beat today isn't just against our original forecast. It's against numbers we already raised intra-year. Our baseline adjusted EBITDA for the year was $133 million before incurring strategic growth investments of $6.5 million, netting us a reported adjusted EBITDA number of $126.5 million. As important, average full-time active students rose more than 10%, with new student starts increasing nearly 11% year-over-year. These results underscore both the resiliency of demand for skilled trades healthcare careers, and the effectiveness of our multidivisional model. In just a few minutes, Bruce will delve further into the details of our Q4 and full fiscal year 2025 performance. Operationally, fiscal 2025 was equally strong. Once again, we executed at a high level on all three pillars of our growth diversification, and optimization strategy. As committed, we successfully launched 19 new programs across our two divisions, extending our reach into fast-growing sectors and expanding access for students nationwide. These included nine full-length programs, eight within UTI and one within Concord, along with 10 shorter cash pay courses designed to serve working adults and regional employers seeking rapid training options. We also further enhanced our operational foundation, aligning brands, streamlining marketing admissions, and optimizing our campuses, such as the UTI Dallas campus and Concord, Denver location. Together, these initiatives have delivered meaningful efficiency gains while enabling us to scale faster and smarter in the future. This first year of the second phase of our North Star strategy proved that our platform works, our transformation is durable, and that we are ready for the next chapter of UTI's evolution. Exactly as we drew it up years ago. With an outstanding year of execution laying the foundation, we are set up to deliver strong growth over the next four years. Frankly, we couldn't be in a better position to kick off fiscal 2026, which will be the true inflection point for our continued growth as accelerated by our North Star strategy.
Jerome Grant: As we transition our focus to 2026, I'd like to take a moment to express my gratitude to our team, our students, and our partners around the country. Without all of you, none of these successes would be possible. As we now enter fiscal 2026, our operational priorities are clear. Expand our campus footprint, launch new programs at scale, and continue to grow our student base while maintaining quality performance discipline. We are on track to open three new campuses during fiscal 2026. First, the Heartland Dental co-branded campus in Fort Myers, Florida, which expands Concord's healthcare reach and will serve as a model for future co-branded opportunities, is set to open next week. The UTI Atlantic campus is a comprehensive greenfield site that will serve one of the nation's fastest-growing metropolitan areas and support programs in automotive, diesel, skilled trades, and aviation technologies. The UTI San Antonio campus, which is our first skilled trades and aviation-focused location, adds capacity in a state where demand for technical education continues to significantly outpace supply. Alongside those openings, now that the path is clear to execute Concord's growth strategy, we expect to launch approximately 20 new programs across our two divisions in fiscal 2026, which is significantly more than previously planned. These additions are tightly aligned with employer demand and will build on the success of our fiscal 2025 North Star phase two rollout. Financially, we expect revenue for fiscal year 2026 to be between $905 million and $915 million, representing approximately a 9% year-over-year growth at the midpoint. I want to be deliberate here. Without our planned growth investments this year, our baseline adjusted EBITDA guidance is expected to be north of $150 million, yet as we will be including approximately $40 million in planned growth as part of our now accelerated growth timeline, we project that we will be printing adjusted EBITDA between $100 million and $119 million. To you, our investors, the scale of these growth investments should not come as a surprise, as we've been signaling our advantageous position to accelerate our growth throughout the past year. These investments represent the front-loaded expenses of launching campuses, hiring faculty, and building capacity for long-term scale. To move on, new student starts are expected to range between 31,500 and 33,000. This near double-digit growth is driven by healthy demand trends, expanding program capacity, and an improved marketing and admissions ecosystem that's producing higher quality leads and better conversion rates. In short, fiscal 2026 will be a year of investment, expansion, and activation. We're taking the platform we've built over the last three years and moving it fully into growth mode. While these investments, as we've outlined in the past, will temporarily moderate our reported margins, they're essential to establishing the next level of scale. We've often said that UTI's growth story is not linear, and that remains true. Fiscal 2026 and 2027 are our build years. The returns begin ramping quite rapidly in fiscal 2028 and beyond. Years two through five of our North Star phase two represent the next chapter of UTI's transformation, focused on accelerating growth, expanding access, and scaling impact. And to remind everyone here, thanks to our diligent execution and new level of collaboration, we're actually one year ahead of schedule. This gives us an additional year to build momentum and execute. As a result, this means that operationally over the next several years, we now plan to open a minimum of two new campuses and up to five new campuses annually, as well as launching approximately 20 new programs annually across both UTI and Concord divisions, depending on regulatory approvals. With respect to campus locations, I'm sure you all read our recent announcement outlining the first three campuses we plan to launch in 2027. As our 2027 plans continue to evolve, you'll hear more from us. The programs we launch will continue to target areas of national workforce shortage from nursing and dental hygiene to diesel, renewable energy, and advanced manufacturing, reinforcing UTI's position as a leader in closing America's skill gap. We expect the financial impact of these initiatives to compound steadily and show strong momentum by the end of fiscal 2029. As previously noted, revenue growth should continue to average about 10% over this time period. Strategic operating and capital investment should be relatively consistent between 2026 and 2029, enabling margin expansion to begin slowly in 2027 before ramping more rapidly in 2028, and especially 2029. As a result of this acceleration, we now anticipate generating more than $1.2 billion in annual revenue and approaching $220 million adjusted EBITDA in fiscal 2029. This rapid expansion in the last two years of the phase is driven by both maturity of our campuses and program replications launched in 2026 and 2027. Please refer to our investor deck for more details. To put that scale into perspective, by the end of fiscal year 2029, we now expect our revenue to nearly double and our adjusted EBITDA to be more than double what they were in 2024. Phase two is not just an extension of our growth story, but a transformation of our scale, reach, and impact. And it sets the stage for what comes next. Even by 2029, we won't have made more than a dent in America's skilled workforce gap, which means there's still an enormous runway in front of us. As Ford CEO just last weekend noted, the industry is struggling to fill thousands of high-paying technician roles, underscoring how substantial the demand remains. So as I look ahead, I couldn't be more confident in where we're headed. We're executing from the strongest operational and financial position in our company's history, and we're building something that's designed to endure, thrive, and grow well past 2029. In fact, we're already starting to think about 2030 and beyond. Building on that durable, repeatable growth engine that we've created. That could mean continuing our organic expansion, accelerating structured B2B partnerships with employers, the military, and state workforce initiatives, including opportunities around AI-enabled training and automation, or even pursuing strategic acquisitions that broaden our reach into new geographies and product sets. We have the platform, the balance sheet, and the team to do all of it. With that, I'll turn the call over to Bruce, our CFO, to review our fiscal 2025 financials and provide you with further details on our guidance.
Bruce Schuman: Thank you, Jerome. Fiscal 2025 was another year of exceptional growth. We met or surpassed all of our raised top-line guidance metrics for the year, demonstrating the scalability of our model and giving us a solid foundation to accelerate the next phase of our North Star strategy. In the fourth quarter, total average full-time active students grew 8.1% year-over-year to 25,049, while total new student starts increased 5.4% to 12,109. For the full year, average full-time active students increased 10.5% to 24,618, and new student starts increased 10.8% to 29,793, coming in on the upper end of our raised guidance range. The Concord division drove a 14.5% increase in both average full-time active students and new student starts for fiscal 2025. These increases are a result of continued marketing and admissions investments and robust demand for Concord's programs. The UTI division generated an 8% increase year-over-year in average full-time active students for the full year, and new student starts grew 7.9%. The growth in average full-time active students reflects the sustained demand for the skilled trades and the eight new programs launched throughout the year. Turning to our financial performance, fourth-quarter revenue on a consolidated basis increased 13.3% to $222.4 million. Concord contributed $77.8 million, an increase of 18.2% over the prior year quarter, while the UTI division contributed $144.6 million, an increase of 10.8% over the prior year quarter. For the full year, consolidated revenue grew 14% to $835.6 million, exceeding the upper end of our guidance range, which as Jerome mentioned, we raised multiple times throughout the year. Concord contributed $293.8 million, an increase of 19.3% over the prior year, while the UTI division contributed $541.8 million, representing an 11.4% increase over the prior year.
Bruce Schuman: Shifting to profitability, consolidated net income for the fourth quarter was $18.8 million or $0.34 per diluted share, and $63 million or $1.15 per diluted share for the full year. Adjusted EBITDA for the fourth quarter was $36.8 million and $126.5 million for the full year. Full-year net income and earnings per share exceeded the upper end of our guidance range, and adjusted EBITDA was in the middle of our projected range. These results included over $6 million in growth related to new program launches and new campus build-outs. At the end of the year, we had 54.4 million shares outstanding. Total available liquidity at the end of the quarter was $254.5 million, including $41.8 million of short-term investments, and $85.4 million of remaining capacity on our revolving credit facility.
Bruce Schuman: Fiscal 2025 cash flow from operating activities was $97.3 million, and capital expenditures were $42 million. Regarding free cash flow, due to the Department of Education strategy to intensify the verification process for students, cash disbursements were temporarily delayed. The result of these timing impacts was that our fiscal 2025 adjusted free cash flow was $56 million, slightly below our expectations. We expect the remainder of these impacts and delayed accounts receivable to be worked through within the next few months. Looking forward, our results in fiscal 2025 give us real confidence in the road ahead. We finished the year with strong momentum across both divisions due to the ongoing demand for education in the skilled trades. Fiscal 2026 is about turning the momentum we've driven by our first year of North Star Phase two into measurable expansion through disciplined execution.
Bruce Schuman: Starting with revenue, we expect to generate between $905 million and $915 million for fiscal 2026, or approximately 9% year-over-year growth at the midpoint. For the first three quarters, we expect mid to high single-digit revenue growth with Q2 being the lowest. Q4 is anticipated to be the highest growth quarter in the low double-digit range. Total new student starts are expected to range between 31,500 and 33,000. For the first quarter, we expect low single-digit growth, then low to mid double-digit growth in Q2, and mid to high single-digit growth in the remaining quarters. For fiscal 2026 net income, we expect a range of $40 million to $45 million and diluted earnings per share ranging between $0.71 and $0.80. While revenue will be up every quarter as noted, as we begin to make our significant growth investments this year, net income growth will be strongly negative for the first two quarters, improving slightly though still negative in Q3, turning positive to low double-digit growth in Q4. As a point of clarity, we've seen no impact in our first quarter due to the recently resolved government shutdown. We expect our full-year baseline adjusted EBITDA to exceed $150 million, and our SEC reported adjusted EBITDA to range from $114 million to $119 million. Embedded in this guidance and bridging from that baseline to our reported adjusted EBITDA is approximately $40 million in growth investments, primarily related to the following two items.
Bruce Schuman: The first is campus expansions, which includes the preopening and launch costs for the three new campuses opening in fiscal 2026, and preparatory work for even more campuses opening in fiscal 2027. The second item is program development, which includes faculty recruitment and educational tools needed for 20 plus new programs opening in fiscal year 2026, with more coming the year after. In terms of the quarterly profile for the year for adjusted EBITDA, similar to net income, as we begin to make our significant growth investments this year, growth will be strongly negative for the first two quarters with high single-digit growth expected in Q3 and significantly stronger growth in Q4. As a reminder, growth investments are not added back when calculating our adjusted EBITDA.
Bruce Schuman: These are investments we've been building a plan for and signaling throughout the year and are not previously unaccounted for impacts. We will be deliberately and strategically reinvesting more heavily beginning in fiscal 2026, to position the company for accelerated returns in the coming years. As a result, we expect to see marginal growth in adjusted EBITDA beginning in fiscal 2027, which will begin to accelerate more significantly in 2028 and even further into 2029 as our array of new campuses and programs ramp and yield higher returns. We anticipate 2026 full-year adjusted free cash flow to range between $20 million and $25 million, which assumes approximately $100 million in CapEx spend, consistent with our multiyear plan to support campus growth and modernization. We expect the bulk of our cash generation and year-over-year growth to materialize in the fourth quarter, consistent with our historical cadence. I want to reiterate what we expect to deliver at the conclusion of this next phase. As a result of North Star phase two, we expect to achieve more than $1.2 billion in revenue, equating to roughly a 10% compound annual revenue growth rate, and to approach $220 million in adjusted EBITDA by fiscal 2029. Driving these results will be approximately $100 million total CapEx invested in new campuses and program expansions each year. These investments will fuel our next wave of growth and position us to deliver stronger returns, higher margins, and a diversified, durable, and repeatable growth engine over time. We remain confident in our ability to fund this growth strategy from cash on hand and cash generated from operations in the coming years. Again, we're thrilled with what the team has delivered in 2025 and are excited for 2026 and how this inflection point for the company will drive even stronger growth in the years to come. In addition to this earnings call transcript, we encourage everyone to review our press release, financial supplement, investor presentation, and upcoming 10-K filing. These materials include the latest updates on our consolidated and segment results, strategic initiatives, and guidance. Thank you to our students, team, partners, and investors for their ongoing support. I'd now like to turn the call over to the operator for Q&A. Operator?
Operator: We will now begin the question and answer session. To ask a question, you may press star then 1 on your telephone keypad. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question today comes from Jasper Bibb with Truist. Please go ahead.
Jasper Bibb: Yes, thanks. It's Jasper Bibb with Truist. Just hoping you could give a little bit more detail on what you're expecting for start growth in 2026 between the UTI and Concord segments. Should we expect the start growth to be relatively even between the two segments or maybe is there a differential there?
Bruce Schuman: Yeah. Hey, Jasper. We're like we said on the call, we're expecting roughly about an 8%, eight to 9% start growth for '26. It's gonna be very similar in kind of profile to this year, and, you know, we're investing to make sure we can make that happen and feel good about the growth for starts in '26. And is that gonna be a very similar segment profile to on your question too as we saw in '25. It's going to be a very similar profile per segment.
Jasper Bibb: Okay. No. That makes sense. I just wanna clarify something from the press release. Was this comment about as much as five campus openings annually, but between the two divisions or on a combined basis? I guess my question is I don't think there'd be a scenario where you do, like, 10 campus openings in a year, but just wanna make sure I understood the point.
Jerome Grant: Yeah. No. Just to clarify, it means between the two divisions. You know, we had previously said that we would likely open two to three, and now it'll be somewhere between two and five per year.
Jasper Bibb: Okay. Understood. Last one for me. You mentioned the cash impact of the Department of Ed's ID verification measures, which makes sense. Just hoping you could comment on if you've seen any productivity impact on the front end. Bringing on new students. Is that taking longer? Is there additional processes they're making you go through as part of that program?
Bruce Schuman: Yeah. Thanks, Jasper. No. We've seen no impact at all on the front end. This was simply a temporary, you know, as the department kind of increased their focus on verifications, you know, legal status, that type of thing. Just basically getting through that backlog caused a little bit of a slowdown in cash collection, but it was temporary. Frankly, we're already seeing it kind of come back to normal here as we start the quarter. So we don't think it's gonna be a long-term drag or anything like that on free cash flow.
Jasper Bibb: Okay. Great. Thank you, guys.
Operator: The next question is from Mike Grondahl with Northland Securities. Please go ahead.
Mike Grondahl: Congrats on a nice quarter. Could you talk a little bit about how your high school recruiting efforts went? Kinda compared to your expectations?
Jerome Grant: Sure. You know, Mike, you know, I've talked a lot. I always want them to go better. I think they went about where we expected them to. We didn't add high school resources this last year. We will for 2026. We chose to put sort of the additional strategic investment in Concord. We saw an opportunity to significantly ramp the Concord enrollment, specifically around the higher value clinical courses this year. And so as we were balancing, you know, additional strategic investment rather than adding resources in the high school for UTI, we put more money into Concord. Also, with the program launches that we've got at UTI, which, you know, are highly concentrated in the skilled trades, we're seeing that the skilled trades tend to appeal more to the adult population. And so tilt a little more investments in marketing to the adult population this year as well. Now as we're opening new campuses, Atlanta, San Antonio, and move forward, there'll be more of a balance between high school and adult, and so that's why we're adding more resources into the high school channel for 2026.
Mike Grondahl: Got it. Got it. And then can you talk a little bit about tuition increases kind of embedded in your 2026? And how are you thinking about pricing power? You know, with demand as strong as it is? What's kinda your current thinking there?
Jerome Grant: Well, number one, we assume somewhere between a two and a 3% price increase. It varies by program and by market in some instances. But, you know, our numbers assume somewhere between a 2-3%. And, you know, when you think about pricing, you know, when inflation spiked in 2022 and 2023, people were saying, well, why don't you take a 10% price increase? And the way you have to look at it is really around student funding. You know? There wasn't a significant increase in Pell Grants and student loan qualifications at that time frame, which means, you know, every dollar above that 2 or 3% that we have, it really adds to the gap that the student has to pay out of their own pocket. Right? So there isn't unlimited upside pricing power to be able to do that. Should there be a significant increase in student funding, we might be able to see a little bit more in pricing. And, you know, in some areas where the demand is high and we may be, you know, seeing really stiff demand, we may see a little more. But on average, it's gonna average between 2-3%.
Mike Grondahl: Got it. And then maybe lastly, how will you choose between at least two and up to five? Are you help us think through the low end and the high end of that range?
Jerome Grant: Yeah. I mean, the low end's conservative. You know, one of the things we already said was you could pretty much count on us for launching two UTI campuses a year. And that was prior to Concord's growth restrictions falling by the wayside and us getting into the game with them as well. So, you know, we hold open the opportunity in the years to come that we could slow it down a little bit. But right now, the opportunity is so great. I mean, the demand is so high for what we're doing in many geographies around the country that, you know, we've announced our first three campuses for 2027. Yep. You know, we had hoped to be able to get a Concord campus or two open in '26, but due to, you know, accreditor approval, real estate and building and things like that, it likely won't be until '27. We announced two of those. We've announced the first campus for 2027 for UTI in Salt Lake City, and, frankly, we're working on more. So, you know, we wanna make sure that we're moving both prudently but aggressively to solve this problem out there.
Mike Grondahl: Perfect. Thank you. Hey. Take care, guys.
Operator: Again, if you have a question, please press 1. The next question is from Griffin Boss with B. Riley. Please go ahead.
Griffin Boss: Hi, good afternoon, everyone. Thanks for taking my questions. So I'll just start off for Bruce. Near the end of your prepared remarks, you talked about expectations for marginal growth in adjusted EBITDA starting in 2027. Can you just clarify here for me, is that implying marginal growth over 2026 numbers? Or marginal growth over what you did in '25?
Bruce Schuman: Yeah. Thanks, Griffin. Yes. To be clear, that's marginal growth over '26 numbers. We've always said '26, '27, are really our investment years. You're gonna kinda see this dip, which you're seeing here in our '26 guide. We're not giving a specific '27 guide, obviously, but you'll start to see some marginal EBITDA growth in '27, and then it will really take off in '28, '29. That's when you'll start to see the return from these new campuses and investments really pay off and add to the bottom line.
Griffin Boss: Understood. Yeah. That's what I thought. Just wanted to make sure I had it correct. And then just shifting to the CapEx cadence going forward, Bruce, you also talked about that. I missed specifically what you said, but I did wanna just discuss what happened in '25. Obviously, that came talked about free cash flow and, you know, CapEx came in below what you had expected as well. Is that is the gap there, the delta, that also just because of the Department of Ed and the cash collections coming in, you kind of tempered your CapEx spend this year? And then along those same lines, should we expect 2026 CapEx to be that much greater? The you know, it was it was about what, 13?
Bruce Schuman: On an accrued basis, it was actually closer to 54, almost right on our guide. Cash, we didn't quite, you know, hit it. It was about $42 million on a cash basis. So really, it was a it's a timing issue. It's accruals, and we're seeing that, you know, it just it really happened toward the end of the year as we really pushed our teams to get that CapEx spent and stay on schedule.
Griffin Boss: Okay. Okay. Got it. Understood. And then last one for me, just on the three new campuses that you guys announced yesterday, that's you know, the growth is great to be. Is there anything you can you just remind us maybe or tell us kinda what how you look at, you know, revenue potential would be different? Can campuses once they've scaled. You talked in the past about, you know, UTI's Atlanta maybe, I think, if I remember correctly, $45 million revenue contribution when it's scaled, and then San Antonio for UTI is $23 million. So is there anything you can just talk about with across these Concord campuses and UTI Salt Lake, expectations when you reach these scaled student numbers you talked about?
Jerome Grant: So first of all, from Salt Lake, it's Jerome here, Griffin. Thanks for the question. Salt Lake City is gonna we think it's gonna behave a lot like Atlanta. It's a full comprehensive campus, transportation skilled trades, and energy. Aviation on that campus. So we think, you know, you're talking about 12, 1,300 students in the $40 to $45 million range at peak. That's our current version of the optimized campus. And, again, we're never satisfied with this notion of optimization. We'll keep looking for more, whether it's new programs or new ways to teach. So Salt Lake City is gonna behave a lot like Atlanta. Now these, you know, these are the first Concord campuses that are coming to market. And, generally speaking, what we're looking at at Concord is a full line of the Concord offerings on each of the campuses, which tends to come somewhere in the neighborhood of 600 students, slightly less revenue per student, and so you're looking at about $20 to $25 million in revenue. And, you know, again, we'll continue to look at our program offerings there and see what we can fit in beyond that. But, you know, we don't have a variable model in terms of Concord that we're putting out because the demand in the healthcare space and in the dental space is just so high. Everywhere. That, you know, it's hard to find a market where you would look at it and say, you know, I'm not gonna put dental in there, or I'm not gonna put radiology tech in, or some of the clinical courses is that, you know, we're going to market with full, comprehensive healthcare programs in all of ours. And like I said, we wanted to get the news out that we've signed our leases in Salt Lake City and Houston and Atlanta for Concord, and we're continuing to work on more locations, whether at the end of '27 or '28, we're working on those right now. And then, Griffin, just to add one thing to underscore what Jerome said, you are exactly right that full campus in Salt Lake City, those are typically $40 to $45 million revenue campuses, you know, IRR is north of 30%, return on capital north of 30%. So just wanted to answer that question. You are correct in the revenue expectations.
Griffin Boss: Awesome. Great. Thanks, Jerome. Thanks, Bruce. Appreciate all the color. Thank you.
Operator: The next question is from Raj Sharma with Texas Capital. Please go ahead.
Raj Sharma: Hi. Good afternoon. So thank you for taking my questions again. Congratulations on a solid beat again. I wanted to ask you about the start that you starts projected for '26. I think that you've already prob you've already addressed a part of it. You said the start split would be equivalent in UTI and Concord. Any sort of breakdown amongst young adults, high schoolers, military veteran that you see that you're contemplating for fiscal 2026 and then how much of your starts is going to be new campuses and programs? I'm trying to get a sense of what your same store starts throughout this for 2026.
Jerome Grant: Yeah. Well, there's a couple dynamics at play as we continue to diversify the UTI campuses, to be, you know, a full line of transportation, skilled trades, and energy, the student population tends to be getting a little older. Right? And that doesn't mean that we're not gonna add resources in the high schools. We absolutely are because we're opening new campuses. We need people in new locations. We need to intensify our efforts in places like, you know, as we open in Atlanta and San Antonio and as we get ready for Salt Lake City. So we will be adding resources in the high school. But the skilled trades tend to appeal to an older audience. You know, kids in high school tend to know about fixing cars. They don't know about wind energy. They don't tend to know about HVAC and welding and the like. And so they tend to really gravitate towards the areas, whereas people who've been out in the world for a couple of years, 19, 20, 21, 22-year-olds, often gravitate towards the skilled trades, which is balancing out the population now on the UTI campus. The other factor that's at play or the other aspects that are at play is that the skilled trades also tend to attract people who are more local. And give us more opportunity to dig deeper into the local market. And as we've said over the past, you know, the local student tends to start faster, tends to make a decision faster, tends to get going. Whereas someone who has to relocate has to find somewhere to live, and there's a longer timeline. And so what we're seeing is shorter timelines from contract start, and we're seeing higher show rates out of the local population. So, you know, these are all things that are helping both our revenue and our margin improve.
Raj Sharma: Got it. Thank you. Also, I wanted to get a sense of what the employment trends across programs. Have you seen any sort of a slowdown or, you know, and even geographically speaking, you seeing a consistent employment at graduation mark that you have seen in the past? Like, has that changed?
Jerome Grant: Yep. If anything, it's intensifying. I mean, we're continuing to get more B2B inquiries around government contracts that have been signed around airplane building, shipbuilding, data centers. Our industrial maintenance technology courses are doing quite well because of the number of areas that are being built in there. So if anything, we're seeing the demand intensify. On the transportation side, I mean, you heard the CEO of Ford just last week. He's got 5,000 openings he can't fill. Right? He's offering upwards of $120,000 to try to get these folks. And so, you know, there's no slowing down in the transportation business at all.
Raj Sharma: Fantastic. And then just on, you know, just a hypothetical question. You know, there's been a talk in the Department of Education totally getting disbanded. Dismantled, any sort of impacts on you on the approvals, on FAFSA, that you foresee, or do you think that it would just be given out, you know, to the different divisions, different departments of the government?
Jerome Grant: Yeah. I think with great question. Thanks for asking. I know that news came out yesterday, obviously, and this is something that, frankly, this administration, who's been, you know, dramatically more collaborative with us over the tenure in office, has been foreshadowing since they took over. And to put a point on your question, there really are two essential pieces of the Department of Education that are most relevant to us. One being the entity or, frankly, the bank that administers Title IV funding. That's something that's perpetually funded. It's self-contained. It wasn't part of the announcement yesterday. What we've seen is fast flows are now moving, you know, quite well. There isn't, you know, all the glitches they had with the new electronic FAFSA, etcetera, seem to be behind them, and we're seeing that progress quite well. If that were to be picked up as a chunk and moved over to another department within the government, you know, we don't anticipate that we would see any real disruption along those lines. And then the other entity is really what you started with, was the entity of approvals. And that was announced that the intention was to move pick that up and move it over under the Department of Labor. Same group of people, same leadership, etcetera, but under the auspices of the Department of Labor. What I can tell you now is that our approval process is far more streamlined, much less friction, and much more collaborative than it has ever been since I've been with this company for the last eight years. You know, the agreements are moving quite rapidly. I'm signing new PPA agreements, you know, five in the last week as we think about renewals and new campuses and new programs, etcetera. And so, you know, we're quite pleased with the collaboration we're seeing from Washington and the lines of communications we've even started to open with the Department of Labor around how we might be able to solve these huge labor problems in the US. So, so far, the two entities we see are working out quite well.
Raj Sharma: Great. Fantastic. Thank you for taking the questions. Again, congratulations and good luck. Talk to you soon.
Jerome Grant: Thank you. Thank you.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jerome Grant for any closing remarks.
Jerome Grant: Thank you, operator. Really appreciate it. I'd like to thank everyone who attended today. Big day in the market for people reporting, so we like that you prioritized us. As always, Bruce, Matt, and I are available to follow up with any questions. We encourage once again, as we always have, people to visit our campuses. You really gotta see what we're doing, especially the new ones that we'll be opening in Atlanta, San Antonio, and the Concord Heartland campus down in Florida. If you're interested, please give us a call. So we look forward to speaking with you again when we report our first fiscal quarter 26, which will be sometime in February. Until then, I'd like to wish you all a very happy holiday season. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.